Operator: Good day and welcome to the Camden National Corporation's First Quarter 2022 Earnings Conference Call. My name is Jason and I will be the operator for today's call. All participants will be on listen-only during today's presentation. Following the presentation, we will conduct a question-and-answer session. [Operator Instructions] Please note that this presentation contains forward-looking statements which involve significant risks and uncertainties that may cause actual results to vary materially from those projected in the forward-looking statements. Additionally, information concerning factors that could cause actual results to differ materially from those in such forward-looking statements are described in the company's earnings press release, the company's 2021 annual report on Form 10-K, and other filings with the SEC. The company does not undertake any obligation to update any forward-looking statements to reflect circumstances or events that occur after the forward-looking statements are made. Any references in today's presentation to non-GAAP financial measures are intended to provide meaningful insights and are reconciled with GAAP in the press release. Today's presenters are David [ph] Dufour, President and Chief Executive Officer; and Mike Archer, Executive Vice President and Chief Financial Officer. Please note that this event is being recorded. At this time, I would like to turn the conference over to Greg Dufour. Please go ahead sir. 
Greg Dufour: Great. Thank you, Jason. Good afternoon and welcome to Camden National's first quarter 2022 earnings call. Earlier today, we reported first quarter 2022 earnings of $16.8 million or $1.13 on a diluted share basis. This is up 2% from the fourth quarter 2021 and 15% lower on a net income basis when compared to the first quarter of 2021. Mike will provide more detail in a few moments, but I want to comment that we believe this is a solid start to the year in light of several factors and conditions. First, as we all know, the economy and interest rate environment are dramatically different than they were just a few months ago and certainly a year ago. Second, like most banks, we've seen a decline in residential mortgage activity and related income as well as declines in PPP-related revenues as those loans are being forgiven. Finally, and reflective of our strong asset quality, we continue to see benefits from provision releases as a number of loans that were modified during COVID have come out of the occurring period. As Mike will provide further details, there is some potential for additional provision releases in the coming quarters as we expect more loans previously modified to meet the internal metrics we've established for ourselves at which time we'd release those reserves as needed. From a market perspective, I would summarize by saying conditions are what we expected. We have seen a 29% decline in residential mortgage activity tracking near what national numbers are caused by increased mortgage rates, but also a significant lack of inventory throughout all of our markets. As we have all read there are bidding awards for homes on the market and we are seeing more and more instances where cash buyers winning those bids. We've seen strong commercial lending activity ranging from small business to commercial and commercial real estate. Commercial grew of $40 million or 11% from the end of last year, while CRE originations for the quarter were solid but somewhat muted by one large payoff as the property sold to a large national offer. This provides a buffer to the decline in residential mortgage activity, but I will point out that the competition for lending is still very hot. We are seeing very competitive situations on both rates as well as deal structure, which results in us opting to pick our spots in those situations. From a long-term perspective, including understanding our strong deposit base, we feel we're in a good position, although, we'll see some pressure in the coming weeks and months. It's now my pleasure to turn the discussion over to Mike.
Mike Archer: Thank you Greg, and good afternoon everyone. I'm pleased to report that we got off to a solid start this year with reported net income for the first quarter of $16.8 million and diluted earnings per share of $1.13, each representing an increase of 2% over last quarter. Through favorable earnings and capital management strategies, we deployed in recent periods, including continued opportunistic share repurchase and dividends, our return on average tangible equity for the first quarter was just over 16%. For the first quarter of 2022, net interest income decreased $432,000 or 1% compared to the fourth quarter of 2021 driven by a decrease in SBA PPP loan income of $1.7 million, as related loan balances continue to run off at an accelerated pace, as borrowers take advantage of loan forgiveness offered. As of March 31, 2022, SBA PPP loan balances stood at $6.3 million and remaining unrecognized origination fees were just over $200,000. Strong loan growth the last two quarters was able to largely offset the impact of lower PPP income and will prove beneficial, as we continue throughout the year. Net interest margin for the first quarter of 2022 was 2.87%, an increase of five basis points over last quarter and on a non-GAAP adjusted basis it also increased by five basis points over this period. We believe our balance sheet composition positions us to fare well as interest rates rise, and we anticipate to see further NIM expansion as our current book continues to reprice and new loans and investments come on at higher yields, which should drive asset yield growth. We believe the amount of NIM expansion over the course of the year will be predicated on our ability to manage funding costs. With that said, we have a strong core deposit franchise and we will prudently manage, as we enter into this cycle. Our loan growth for the first quarter was 3% or 4% on a non-GAAP basis adjusting for SBA PPP loans. Loan growth for the quarter was centered within our residential mortgage portfolio, which grew $86 million or 7%, and our C&I portfolio which grew $40 million or 11%. As discussed last quarter, we anticipated that we would hold more of our production in our loan portfolio in the first quarter than we had seen in more recent quarters. This held true though slightly higher than anticipated with 77% of our residential mortgage production for the first quarter making its way to the portfolio. Within our markets we are seeing an extremely competitive environment, as competitors look to deploy excess liquidity and are doing so through competitively pricing mortgages and holding these within their portfolio. As a result, market rates have been lower than what the secondary market was otherwise call for and pressuring saleable loan volumes. More recently, we have seen market rates shift higher and do foresee more saleable volume going forward as a percentage of production. However, for these reasons, we anticipate the majority of our residential mortgage production will continue to be held within the portfolio over the coming quarters. Lastly on the loan front, as Greg mentioned, we are pleased with our C&I growth during the quarter, as it reflects the ramp-up and positive momentum of our small business team. On a linked-quarter basis, non-interest income was down $2.3 million. Mortgage banking income for the first quarter totaled $1 million, which was half of what was reported last quarter. We sold 23% of our residential mortgage volume in the first quarter compared to 33% last quarter. Also, debit card income was lower $1.1 million between periods. This was due to timing of recognition of our annual Visa bonus in the fourth quarter last year of $741,000 and lower seasonal volume. Our non-GAAP efficiency ratio for the first quarter of 2022 was 56.47%, while our annualized ratio of noninterest expense to average assets was 1.93% compared to 54.9% and 1.94% respectively for the fourth quarter of 2021. Noninterest expense for the first quarter was $26.2 million a 3% decrease from last quarter.  As discussed last quarter, we expect quarterly run rate operating expenses to be closer to $27 million for the remainder of the year as the full impact of annual merit increases take effect. Credit quality across our loan portfolio continues to be favorable highlighted by nonperforming loans totaling 19 basis points of total loans as of the end of the first quarter of 2022, compared to 20 basis points at December 31, 2021 and 31 basis points a year ago.  We also continue to have low delinquencies. At March 31, 2022 and December 31, 2021 loans past due 30 to 89 days were only 4 basis points of total loans. At March 31, 2022 our allowance to total loans ratio was 0.9% representing a 7-basis-point decrease from year-end and resulted in a negative provision for the first quarter of 2022 of $1.1 million. The decrease in the allowance for credit losses during the first quarter was driven by the release of $1.9 million of reserves that were established during the pandemic on certain COVID-modified hospitality loans given the elevated credit risk profile. This release more than offset the provisions that were necessary otherwise to cover solid loan growth during the first quarter. Included within our allowance balance of $31.8 million as of March 31, 2022 is another $3.2 million of reserves related to these hospitality loans subject to release over the coming quarters should these loans meet their preestablished internal requirements. While there is the potential for future reserve releases as we expect the remaining previously modified loans to care this may be offset by other factors such as loan growth or a shift in our economic outlook within our CECL model.  While, we have seen our allowance to loan – to total loans ratio steadily come down since the peak of the pandemic it continues to be above our pre-pandemic level under CECL. As of March 31, 2022 our allowance was 4.7 times nonperforming loans providing what we believe to be sufficient and appropriate coverage. Like many other financial institutions, we too saw a decrease in the shareholders' equity during the first quarter of 2022 because of the decrease in market value of our AFS bond portfolio due to the sharp increase in the yield curve.  On March 31, 2022 our TCE ratio was 7.25% compared to 8.22% at December 31, 2021. Intangible book value per share decreased to $26.16 at March 31 compared to $30.15 at the end of last year. While, we certainly never like to see shareholders' equity decrease, we understand why it did and are confident as temporary and driven by the change in the interest rate environment.  Being an asset-sensitive bank, rising interest rates are generally a good thing and will likely translate into higher earnings and capital generation from our current balance sheet. Also, our investment portfolio is made primarily up of amortizing bonds and thus we will naturally see balances that are currently under water runoff. Lastly, we have the ability to leverage held-to-maturity or HTM designation and may consider to do so on future investments that are longer dated and present greater price volatility risk.  The company continues to be well capitalized supporting strong core equity which can be seen within our regulatory capital ratios that are all well in excess of our regulatory capital requirements as of the quarter end.  This concludes our comments on our first quarter results. We'll now open the call up for questions. Thank you.
Operator: Thank you. We will now begin the question-and-answer session. [Operator Instructions] Our first question is from Damon DelMonte with KBW. Please proceed.
Damon DelMonte: Hey, good afternoon guys. Hope everybody is doing well today.
Greg Dufour: We are Damon.
Damon DelMonte: Great. Good to hear Greg. Just wanted to start off with the margin and your thoughts going forward. I know you guys are asset sensitive. And just wondering what you guys internally project the margin to do for a 25 basis point increase here coming up in May or even a 50 basis point as it seems like the market is moving towards that stance?
Mike Archer: I guess, Damon, what we're saying internally right now is our models are looking at it from where does the Fed look like at 250 by year-end. On that basis from a margin perspective, we think where we are right now at 287 for the first quarter is a pretty good indicator of where we may end up, I'd say plus or probably more on the upside maybe plus five basis points. Within our first quarter margin there's a interest income. There's a few items in there that are call it a little higher than -- higher nonrecurring items. So because of that, we think we'll cover that but also we have some potential upside from here too.
Damon DelMonte: Got it. Okay. So where -- what would you put the core margin at this quarter closer to like 280?
Greg Dufour: Yeah, probably three basis points down from what we reported from the core basis. That's 280, 279 to run there.
Damon DelMonte: Okay, got it. Okay, great. And then can you talk a little bit about your outlook for expenses and how you see them trending going forward? They came in a little bit lighter than what we were looking for, but just wondering with wage inflation and any other projects or internal initiatives you have going on, kind of, how you see the expense base trending?
Mike Archer: Yeah. I think like we said, I mean, we expected on average our run rate for the rest of the year to be closer to the 27. This quarter, I agree certainly a little bit lower. We do in the second quarter as well. We have our annual director equity grants that come through that pushes up a little bit as well. So my expectation for the second quarter is we could be slightly above 27. But from there we'll level out and roughly be at 27 for the year.
Damon DelMonte: Great. And then just lastly, loan growth obviously off to a really strong start helped in part by the portfolio of residential mortgages. I guess first part, do you expect to continue to portfolio resi mortgages? And then second part, how do you look at this quarter's result and extrapolate that over the coming quarters? Thanks.
Mike Archer: Yeah. So on the resi mortgage side, as I mentioned in my comments and certainly Greg too is, it's a really hot market on the residential mortgage side. We sold 23% to held 77% in our portfolio for the first quarter. I think based on our current pipeline and the way that's shaping up, it will be somewhere in the 70% to 75% likely, again, for the second quarter that will hold. I think from there, it's certainly a big question mark in terms of what the competition does. We're seeing it just that the market around us is pricing well below the secondary market. We hope and believe that what we'll see over the next 60, 90 days that start to, call it, correct itself a little bit. But I think to that point we're -- right now, we're kind of internally thinking about what does that look like? What is that balance for loan and on our portfolio as well as sold? We personally would like to see it closer to the 50-50 mix. But we do think that that's going to be a real challenge getting there this year for remainder of the year.
Greg Dufour: And maybe I can just add Damon, on the commercial side and including within that small business, obviously, off to a strong start. And that's reflective of build-out of our small business efforts that we're doing, both from people, as well as processing to make it more streamlined and then on the larger commercial side. I know, typically, we say mid-single-digit loan growth. I think, if you annualized out our growth, that's probably on the higher end from what we have. If you go back to my old thing of mid-single digit, probably we're a little bit higher than that for you to think about going forward. We're pleased with what we're seeing. But as I mentioned in my comments, it's just competitive. It's competitive on the rate side competitive on the structure side. And I always want to maintain the flexibility to pick our spots and -- because that will be best long-term growth, especially, if there's a potential change in the asset quality cycle coming up.
Damon DelMonte: Got it. That’s great. Thank you very much.
Greg Dufour: You’re welcome.
Mike Archer: Thank you.
Operator: Thank you for your question. Our next question comes from Matthew Breese with Stephens. Please proceed.
Matthew Breese: Good afternoon. I was hoping you could help me -- a couple of questions. So the first one is just on incremental loan yields. What are the incremental blended yields versus the existing book? And have we hit the crossover point yet?
Mike Archer: We have. So right now our pipeline is -- we're seeing it on the upper end of 4 now, from a rate perspective. And then -- from the resi side. And then on the commercial side, we're starting to get into the 4s into the high 4s -- low 4s to high 4s too. So we're starting to certainly seeing yields and pricing start to tick up, Matt.
Matthew Breese: Got it. Okay. And then behind your NIM forecast through the end of the year, what are your assumed deposit betas? And how does that compare to last cycle?
Mike Archer: Yes. So we're assuming -- I'll call it, over the economic cycle 25% beta. Yes, we hope it will certainly be better than that. Within that forecast, we're not assuming any lag. Again, I don't think that will be the case, as we always have been, we'll lag the market. We have a strong liquidity position, strong deposit -- core deposit franchise. But in terms of what I shared there from a margin outlook, it assumes there's no lag.
Matthew Breese: Okay. And are you starting to see the market get a bit more competitive on the deposit front? Like, do you think you'll be able to lag, or is it intensifying more than you thought already?
Mike Archer: We're starting to hear a little bit, but it's -- at this point it's not prevalent. We do anticipate that we will lag. We do think that's a reality. I think realistically, the first 7,500 basis points will lag and then from there, it's going to be certainly competitive. One of the things that, would be a big factor just like on the loan side will be what competition does not all the banks, certainly within our markets to have our position, we might have to chase deposits a little bit higher. We'll pick and choose those relationships and we'll do it prudently.
Matthew Breese: Okay. The other one I had was the commercial reserves that are predicated on certain behaviors to release there. Is that an all-at-once type event, or should we think about kind of evenly dispersing that throughout the course of the year?
Mike Archer: It's likely that, the bulk of that could come through in the next quarter. But I just want to be cautious of what that actually means. I mean, certainly, we'll have to release some reserves to the extent they meet those internal metrics we spoke of. But at the same time, as we all know, the macroeconomic environment is pretty volatile, and a function of loan growth in terms of how that pans out for the second quarter. So I guess, my point being is reserve [Audio Gap] it's probably isn't a likely outcome there. We expect to have some loan growth probably similar and comparable to what we saw this quarter. On top of that, was as I mentioned just the macro environment and how that impacts the more volatile accounting model as well.
Matthew Breese: Got it.
Greg Dufour: Yes. Maybe if I could just add on that Matt, and more repeating what Mike just said is, we wanted to put out there the max potential relief that could come, but we don't expect it to be out there. Again, just as the economy plays out as Mike said, and obviously, we want to use it up in loan growth. But we just wanted to communicate that situation there, but I would put that whole amount in your models.
Matthew Breese: Understood. Okay. My last one is just in regards to the C&I portfolio specifically. Obviously, it was a very nice quarter growth-wise. I wanted to get a sense for utilization rates at year-end and today. How much of that was due to increased utilization? Do you expect that to continue? And how much of that was just kind of new customers and organic growth?
Mike Archer: We have seen the working capital lines pick up a bit from year-end, but we're still below pre-pandemic levels at this point Matt.
Matthew Breese: Okay. All right. That's all I had.
Mike Archer: Oh sorry, go ahead. 
Matthew Breese: No, no you go ahead and finish. That was my last question.
Mike Archer: Well, I was going to say on the C&I side, I think it's the small business team has done a lot of ramp up, and we've seen some pretty solid momentum there. So certainly in our comments, as we alluded to, we're excited about that and where that goes.
Matthew Breese: Got it. Okay. Thank you for taking my questions. I appreciate it.
Mike Archer: Yep. It's our pleasure.
Operator: Thank you for your question. As we have no further questions, this concludes the question-and-answer session. I would now like to pass the conference over to our management team for closing remarks.
Greg Dufour: Great. Thank you. Really the only closing remarks is to thank you all for your attendance and listening in, later this afternoon at 3 o'clock, we'll have our Annual Shareholder Meeting. And if some of you are there, we look forward to hosting you virtually on that. So take care.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect your lines.